Operator: Good day, everyone, and welcome to this ExxonMobil Corporation third quarter 2015 earnings conference call. Today's call is being recorded. At this time, I'd like to turn the call over to the Vice President of Investor Relations and Secretary, Mr. Jeff Woodbury. Please go ahead.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Thank you. Ladies and gentlemen, good morning, and once again welcome to ExxonMobil's third quarter earnings call. My comments this morning will refer to the slides that are available through the Investors section of our website. And as you know, before we go further, I'd like to draw your attention to our cautionary statement, shown on slide two. Turning now to slide three, let me begin by summarizing the key headlines of our performance. ExxonMobil generated earnings of $4.2 billion in the third quarter. We maintain a relentless focus on our business fundamentals, including cost management, regardless of the commodity price cycle. Despite the challenging environment, the corporation also continues to deliver on its investment and operating commitments. Third quarter results reflect cyclical strength in our downstream and chemicals segments and highlight the resilience of our integrated business model. The corporation's integrated cash flows underpin our dividend and enable investment through the cycle to grow shareholder value. Year to date, the corporation generated cash flow from operations and asset sales of $27.6 billion, with positive free cash flow of $7.4 billion, even amid sharply lower commodity prices. Moving to slide four, we provide an overview of some of the external factors affecting our results. Global economic growth slowed during the third quarter. In the U.S., growth tapered following a strong second quarter. China's economy continued to decelerate, and the recovery in Japan remained weak. However, there is some evidence of economic stabilization in Europe. Crude oil prices resumed their decline after improving in the second quarter, whereas global refining margins strengthened during the quarter. And in chemicals, both commodity and specialty product margins also improved. Turning to the financial results, as shown on slide five, as indicated, third quarter earnings were $4.2 billion, or just over $1.00 per share. The corporation distributed $3.6 billion to shareholders in the quarter through dividends and share purchases to reduce shares outstanding. And of that total, $500 million were used to purchase shares. CapEx was $7.7 billion, benefiting from ongoing capital efficiencies as well as additional captured savings in the current market environment. Cash flow from operations and asset sales was $9.7 billion. And at the end of the quarter, cash totaled $4.3 billion, and debt was $34.3 billion. The next slide provides more detail on sources and uses of funds. So over the quarter, cash decreased marginally from $4.4 billion to $4.3 billion. Earnings adjusted for depreciation expense, changes in working capital and other items, and our ongoing asset management program yielded $9.7 billion of cash flow from operations and asset sales. Uses included net investments in the business of $6.2 billion and shareholder distributions of $3.6 billion. There was no net cash flow impact from debt and other financing items. As you can see on the chart, the corporation fully funded all shareholder distributions and net investments with cash flow from operations and asset sales in the quarter, with a marginal decrease to the cash balance. Moving on to slide seven for a review of our segmented results, ExxonMobil's third quarter earnings were down $3.8 billion from the year-ago quarter, though our upstream earnings were partially offset by stronger downstream results and lower corporate costs. As shown on slide eight, the results were comparable to the second quarter, as lower upstream earnings offset stronger downstream results and lower corporate costs. Now on average, corporate and financing expenses are anticipated to be $500 million to $700 million per quarter over the near term. Turning now to the upstream financial and operating results, starting on slide nine, upstream earnings in the third quarter were $1.4 billion, down $5.1 billion from the third quarter of 2014. Sharply lower commodity prices reduced earnings by $5.1 billion, while crude realizations declined more than $50 per barrel, and gas was down more than $2.00 per 1,000 cubic feet. Note that favorable volume and mix effects increased earnings $110 million, driven by new project developments. All other items reduced earnings by $70 million, where the absence of asset management gains were partly offset by lower operating expenses. Moving to slide 10, oil equivalent production increased 87,000 barrels per day or 2.3% compared to the third quarter of last year. Liquids production increased 266,000 barrels per day or nearly 13%, driven by project ramp-up and entitlement effects. Natural gas production decreased 1.1 billion cubic feet per day due to regulatory restrictions in the Netherlands and field decline, primarily in North America. Turning now to the sequential comparisons, starting on slide 11, upstream earnings were $673 million lower than the second quarter. Weaker liquids realizations reduced earnings $1.2 billion, as crude prices were over $12 per barrel lower than the second quarter. Volume and mix effects decreased earnings $30 million. All other items increased earnings $550 million, reflecting favorable foreign exchange effects, lower operating costs, and the absence of the deferred tax adjustment associated with the Alberta tax rate increase. Upstream unit profitability for the third quarter was $3.88 per barrel excluding the impact of non-controlling interest volumes. Year-to-date earnings per barrel were $5.81. Moving to slide 12, sequentially volumes decreased 61,000 oil equivalent barrels per day or 1.5%. Liquids production, however, increased 40,000 barrels per day, as new project growth and work programs were partly offset by scheduled maintenance and field decline. Natural gas production was 604 million cubic feet per day lower than the second quarter, driven by entitlement effects, weaker seasonal demand in Europe, and field decline. Moving now to the downstream financial and operating results, starting on slide 13, downstream earnings for the quarter were $2 billion, up $1 billion compared to the year-ago quarter. Our margins increased earnings by $1.4 billion. Volume and other impacts reduced earnings $280 million and $110 million respectively, primarily driven by higher maintenance activity, mostly in the U.S. Turning to slide 14, sequentially downstream earnings were up $527 million. Stronger margins increased earnings by $320 million, and higher volumes from lower maintenance activity contributed another $270 million. Other items reduced earnings by $60 million. Moving now to the chemical financial and operating results, starting on slide 15, third quarter chemical earnings of $1.2 billion were comparable to the prior-year quarter. Improved margins contributed $210 million. Favorable volume and mix effects added $30 million. And all other items decreased earnings by $210 million, largely due to unfavorable foreign exchange effects. Moving to slide 16, chemical earnings were also flat sequentially. Stronger margins increased earnings $160 million, while favorable sales mix added $40 million. Other items reduced earnings $220 million, reflecting the absence of asset management gains. Now on slide 17, we want to reinforce the importance of the corporation's focus on business fundamentals regardless of commodity prices, and this focus underpins our solid financial and operating results throughout the business cycle. Our first imperative is operational integrity, ensuring safe, efficient, and environmentally responsible operations, founded on strong risk management. Next, we work to maximize the value of our assets by increasing facility utilization and reliability. An incremental barrel of oil produced or refined through improved reliability is one of the most profitable. The next imperative is cost management. Reducing our cost structure is an ongoing focus in our existing operations and new developments. We also continuously enhance and right-size our global functional organization, capturing benefits from economies of scale, shared research and development programs and technologies, shared services, and common best practices. We currently run ExxonMobil with about the same number of employees as Exxon had just prior to the merger with Mobil. We are also quick to capture market cost savings. Our global procurement organization is dedicated to capturing the lowest lifecycle costs for goods and services. As you can see in the chart on the left, we are achieving significant market savings in the current business climate. So far this year, we've achieved a net reduction of $8 billion in capital and cash operating costs. And I'll note that this amount is in addition to the $4.5 billion decrease in planned 2015 CapEx relative to 2014 spend. Further in the upstream, unit costs are down about 10% year to date compared to last year. And finally, our longstanding track record of superior project execution is a distinguishing characteristic of ExxonMobil, and results in higher-return capital-efficient assets due to a lower capital base and on-time delivery. Turning to slide 18, through our differentiated project development capability, we are unlocking the value of our deep and diverse upstream portfolio. Excellent progress has been made on our investment plans to start up 32 major projects between 2012 and 2017. We've started up 21 of these projects, including five this year, which added more than 750,000 oil equivalent barrels per day of working interest production capacity. More than 90% of these volumes are liquids or liquids linked to LNG. We are achieving a strong reliability from our projects, including more recent startups such as Kizomba Satellites Phase 2 in Angola, Hadrian South in the Gulf of Mexico, and the Kearl expansion in Canada. The Papua New Guinea LNG project continues to achieve exceptional results. From its early startup in 2014 and quick ramp up to full capacity, the project has produced nearly 9 million gross tons of high-quality LNG and has delivered more than 125 cargoes to customers. Now since startup, we have progressed low-cost debottlenecking activities to enhance production rates. Our systematic approach has increased gross capacity of the PNG LNG project from 6.9 million to 7.3 million tons per year. This is yet another example of ExxonMobil's constant focus on maximizing the value of installed capacity and improving profitability. Two additional capital-efficient projects were commissioned in September. In Nigeria, Erha North Phase 2 started up five months ahead of schedule and $400 million under budget. This subsea development ties back to existing infrastructure, shown in the photo, avoiding the need for another FPSO vessel. Gross peak production is estimated at 65,000 barrels of oil per day and will increase total Erha North field production to approximately 90,000 barrels per day. Also in September, the first ever subsea compression facility started up at Åsgard in the Norwegian North Sea at a depth of nearly 1,000 feet. This is a prime example of developing and applying advanced technologies to unlock previously uneconomic reserves. At peak, the project is expected to add gross production of approximately 40,000 barrels of oil and more than 400 million cubic feet of gas per day. And finally in Indonesia, at the Banyu Urip development, startup of the central processing facility is expected by year end, enabling gross production to ramp up to more than 200,000 barrels per day. Moving now to exploration on slide 19, we continue high-grading our 92 billion barrel resource base through new opportunity captures and leveraging the benefits of a softer market as we progress our exploration activities. Offshore Guyana, we are conducting the largest 3-D seismic survey in the company's history to evaluate the resource potential of the 6.6 million acre Stabroek Block. Additional exploration drilling is planned in the first half of 2016. Offshore Nigeria, we secured interests in two high-potential blocks, building upon our 800,000 acre position. These blocks are adjacent to where we made two discoveries last year. Future developments could tie back to the nearby Usan FPSO, which is operated by ExxonMobil. And in the U.S. Permian, we acquired rights to 48,000 acres in the core of the Midland Basin adjacent to existing operations. We have grown our operated portfolio in the basin to over 135,000 net acres from a series of acquisitions during the last two years. Turning to slide 20 and an update on our downstream business, where we are selectively investing to grow higher-value product sales, we recently announced the expansion of our hydrocracker unit at the Rotterdam refinery, shown in the picture to the left. The project will utilize ExxonMobil's proprietary hydrocracking technology, efficiently producing Group II premium lube-based stocks and ultra-low-sulfur diesel to meet growing market demand. The Rotterdam refinery is fully integrated with our chemical manufacturing. The hydrocracker project will increase production of higher-value products and further strengthen the refinery's position as a leader in the European refining industry. Construction is expected to begin in 2016, with startup projected in 2018. This project along with recently completed basestock capacity expansions at our Baytown, Texas and Singapore refineries will further enhance our position as the world's largest producer of lube-based stocks. Now in addition to these capacity expansions, we are investing across our lubricants value chain. At our petrochemical complex in Singapore, we announced the construction of a new synthetic lubricant blending plant to extend the production of Mobil 1, our flagship synthetic engine oil brand. This new plant will employ innovative blending technologies, drive increased operating efficiency, and enable us to support the growing Asian market demand for premium synthetic lubricants. Startup has been planned in 2017. Moving now to a discussion of year-to-date cash flow on slide 21, this graphic illustrates the corporation's sources and uses of cash. Our integrated businesses provided $26 billion of cash flow from operations, which supports shareholder distributions and funds our investments. The scale of these cash flows and our balance sheet strength provide the financial flexibility to invest through the cycle. Cash flow from operations and asset sales of $27.6 billion funded shareholder distributions and nearly all of our net investments in the business, supplemented by a small increase in debt financing. These investments have attractive financial returns and justify the additional leverage. Our objective is to pay a reliable and growing dividend, directly sharing the corporation's success with our shareholders. Quarterly dividends per share of $0.73 are up 5.8% versus the third quarter of 2014. We have also maintained the share buyback program, but have prudently tapered it over the past nine months, consistent with changes in the business environment and the corporation's cash requirements. Share purchases to reduce shares outstanding are expected to remain at $500 million in the fourth quarter of 2015. And finally, year to date, the corporation has generated $7.4 billion free cash flow, reflecting the performance of our integrated businesses and our disciplined capital allocation approach. So I would now like to conclude this morning's comments with just a summary of our year-to-date performance. In short, the corporation is delivering on its investment and operating commitments. Through the end of the third quarter, ExxonMobil earned $13.4 billion, reflecting the benefits of our integrated business model, which captures value throughout the cycle, as demonstrated by our strong downstream and chemical results. Upstream production volumes increased to 4 million oil equivalent barrels per day, up 2.7% year on year. Volume contributions from a portfolio of new developments underscore our project execution excellence and reputation as a reliable operator. We remain on track to achieve our production target of 4.1 million barrels per day for the full year, with additional project ramp-up and seasonal gas production increases throughout the fourth quarter. Solid operating results combined with continued investment and cost discipline generated cash flow from operations and asset sales of $27.6 billion and free cash flow of $7.4 billion. Our commitment to shareholders remains strong, as the corporation distributed $11.5 billion through the end of the third quarter. So regardless of industry conditions, we remain focused on what we control and are driven to create shareholder value through the cycle. This concludes my prepared remarks, and I certainly would be happy to take your questions.
Operator: Thank you, Mr. Woodbury. Our first question comes from Doug Leggate with Bank of America Merrill Lynch.
Doug Leggate - Bank of America Merrill Lynch: Thank you, everyone. Good morning, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Good morning, Doug.
Doug Leggate - Bank of America Merrill Lynch: A couple, one housekeeping and one strategic question, if I may. Just on housekeeping. This quarter I guess the number that jumped out to us was your tax rate, and I'm just trying to understand. Is that just a mix effect, or is there anything thing unusual going on there that we should be aware of? Put another way, if we had a sustained low oil price environment, I'm guessing we would expect that the tax rate would remain at depressed levels. Is that fair?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Yeah, well, the tax rate, if you think about it from a quarter-on-quarter perspective, Doug, it's down just shy of 12%, and there are two components. One, as you said, is the mix effect across our business segments and geographies, same as what you've heard from us the prior quarters. There was also a one-time tax-related item that reduced the tax rate by about 3%. So we're still consistent with our guidance that assuming the current commodity prices and our existing portfolio mix, we would anticipate an effective tax rate between 35% and 40%. If you unwind the 3% one-time impact in the third quarter, that takes you up to 35%. And if you look at year to date, our effective tax rate is about 37%. So our guidance of 35% to 40% is right on.
Doug Leggate - Bank of America Merrill Lynch: To be clear, that's a consolidated rate, or does that include affiliates? That's just consolidated, right?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: That's consolidated.
Doug Leggate - Bank of America Merrill Lynch: Got it, okay. My follow-up is I guess I'm going to go with Guyana. So one of your partners is suggesting that there's a reasonable potential for an early production system here, and I'm just wondering. Given as operator, you're the source of all knowledge, so to speak, can you give us some idea as to how you're thinking internally about scale opportunity given just the embryonic nature of this whole situation? Although there's an early production system plan, and I know there are a lot of embedded questions there. But the relative importance that Exxon is giving this within your general portfolio in terms of personnel allocation and things of that nature, just a broad feel as to how you're thinking about what looks like a fairly interesting area. I'll leave it there, thanks.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Sure, Doug. Let me step back first and just remind you. The exploration program as a whole is really designed to ensure that we're targeting opportunities that will high-grade our resource portfolio. As you heard from us earlier this year, we're very encouraged with the initial result of Guyana. As I've said previously, Doug, and as you seemed to imply, we've got one well in an area that's very large, 6.6 million acres. We're very encouraged by the initial results. As I said in my prepared comments, we do have a very active seismic program underway that is informing us as we put together our plans for some drilling activity in the first half. Obviously, we're taking all that information real time and we're incorporating it into our thinking. But it is really too early for us to share any specific plans. But rest assured, Doug. We will look at the full range of development options to see how we can best monetize the resource with the objective of achieving optimized return on investment.
Doug Leggate - Bank of America Merrill Lynch: Thanks, Jeff. I appreciate the answer.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: You bet.
Operator: We'll go next to Doug Terreson with Evercore ISI.
Doug Terreson - Evercore ISI: Good morning, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Good morning, Doug.
Doug Terreson - Evercore ISI: So I have a point of clarification as well. What was the asset sale that was highlighted on slide six? And was this $500 million after-tax amount included in the operating earnings; that is, in the $1.01 per share?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: So the $500 million from cash flow represents a number of multiple assets. As we've said historically, Doug, we have as part of a key component of our business is a very active asset management plan to high-grade our portfolio.
Doug Terreson - Evercore ISI: Sure.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: So the $500 million positive cash impact really represents many different transactions that occurred over the quarter. On a quarter-on-quarter basis, it was the absence of a trade that we did third quarter of last year.
Doug Terreson - Evercore ISI: Okay, I see. And also on capital spending, it's running about 20% below last year's level. And while the gap seems to have narrowed somewhat versus the recent quarters, it actually widened versus the first half in the upstream. So my question is whether or not you could provide some color on the spending trends and also any insight that you may have on the trend for 2016 in light of the pretty significant changes that are being announced by some of your competitors; that is, if you have any guidance at this point.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Sure, Doug. I'll say in short that our CapEx guidance has not been changed.
Doug Terreson - Evercore ISI: Okay.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: We're still saying – have guidance for this year at $34 billion, and 2016 and 2017 below $34 billion. Of course, we'll provide an update in the analyst meeting in March. But as I alluded to last quarter and you see in the savings I talked about year to date, we are seeing substantial capital efficiencies on the CapEx side. We are running lower than our plan, and it is reasonable to extrapolate that to a year-end number that will bring us below our $34 billion.
Doug Terreson - Evercore ISI: Okay.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: And thinking forward, Doug, I'd also say that those type of efficiencies and improvements that we're capturing, including market savings and a stronger U.S. dollar, will be extrapolated forward into the 2016 and 2017 programs.
Doug Terreson - Evercore ISI: Okay, great. Thanks a lot.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: You bet.
Operator: We'll go next to Brad Heffern with RBC Capital Markets.
Bradley B. Heffern - RBC Capital Markets LLC: Good morning, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Good morning, Brad.
Bradley B. Heffern - RBC Capital Markets LLC: Just following up on the past question, obviously you identified $8 billion in cost savings so far. I'm curious what inning we're in, if you will, as far as cost savings go. Do you feel like you've harvested the majority of savings that you expect to have as a result of the downturn, or is there a lot more to come?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Brad, I think just stepping back, we are never satisfied with our cost structure. We are, as was clearly mentioned many times, we're always working to reduce the structural cost in our business. So I would never tell you that we're done. Within the market capture, the market benefits, we continue to work actively with our service providers to identify innovative lower-cost solutions that end up being win-win solutions outcomes because they know we've got the financial capability to invest if we have the right cost structure and ultimately the right economics. So we're actively pursuing additional opportunities, and our expectation is that we'll continue to drive meaningful improvement in our cost structure while maintaining high operational integrity.
Bradley B. Heffern - RBC Capital Markets LLC: Okay, thanks for that. And then thinking about onshore U.S., can you talk about the current rig count across your three major basins? There was obviously a big decline last quarter. Can you talk through how much of – if it's declined further, how much of that is just pure efficiencies versus the amount of activity you'd like to have?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: It's probably both of that. It's both efficiency as well as an intentional effort to manage our spend given the business climate. Right now, currently we've got running about 32 rigs in our Lower 48 onshore rig activity. That is down from our peak. And you know, in essence, it's down because of the reasons I've already stated, and that is we continue to see significant improvements in operational performance, cost, and productivity. So while the rig count is down, part of that is offset by the improvement in performance. But the second part of it again is due to a deliberate effort to manage within our means.
Bradley B. Heffern - RBC Capital Markets LLC: Great, thank you.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: You bet.
Operator: We'll go next to Evan Calio with Morgan Stanley.
Evan Calio - Morgan Stanley & Co. LLC: Good morning, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Hi, Evan.
Evan Calio - Morgan Stanley & Co. LLC: Just first to follow up on the CapEx, on the $8 billion of cost savings year to date, can you give us color of the composition in that reduction between capital and cash costs? I thought I heard you say that's in addition to the $4.5 billion step-down from 2014 to 2015.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Yes, Evan. It is in addition to the $4.5 billion. So the $8 billion is really from our target, our CapEx guidance that we had provided. In terms of the split between CapEx and OpEx, generally speaking, I'd just tell you it's a little over $1 billion CapEx. The rest is OpEx, cash OpEx.
Evan Calio - Morgan Stanley & Co. LLC: Got it; that helps as we think about 2016. And my second question is on LNG. I know there's a mix in contract durations within your global LNG portfolio, and it changes over time as contracts, some contracts reopen as had been reported. But can you quantify the aggregate spot market exposure in your portfolio for Exxon into 2016?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: I can generally tell you that it's a fairly low component of our portfolio. Remember, our LNG projects continue to be a key component of our portfolio, and it is a very important part of our margin generation. And as you may have heard us say in the past, when we go to FID on these big multibillion dollar complex LNG projects, we typically contract under long terms our LNG volumes, our proved LNG or proved reserves, with a very little bit left for spot.
Evan Calio - Morgan Stanley & Co. LLC: So less than 10%, is that a fair assumption?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: That's a fair assumption.
Evan Calio - Morgan Stanley & Co. LLC: Great, I appreciate it.
Operator: Our next question comes from Phil Gresh with JPMorgan.
Philip M. Gresh - JPMorgan Securities LLC: Hey, Jeff. Good morning.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Good morning, Phil.
Philip M. Gresh - JPMorgan Securities LLC: Just a quick follow-up on the capital cost reduction number. Would you say that there has been a significant impact this year to pulling forward any capital spending to take advantage of this environment that as we look ahead to next year, you could actually have a good year-over-year benefit from that?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Yes, clearly the strength of our balance sheet and our ability to continue to invest through the cycle provides an added benefit. Those projects that are in execution right now coupled with the capability of our global procurement organization to capture market savings allows us to leverage those benefits in the current projects. Likewise, if you rewind a bit to our discussion around the Lower 48 unconventional activity, we are taking full advantage of high-grading the services that were provided. We're very well positioned to advance certain commodity purchases, but rest assured we're taking full benefit of the current market climate.
Philip M. Gresh - JPMorgan Securities LLC: Is there any way to quantify the benefit of pull-forward plus project roll-off?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: No, Phil, it's really hard to do that. The business is very expansive in terms of scope and scale. A lot of those cost savings vary dramatically between asset and geographic regions. So it's really difficult for us to go ahead and break that down further.
Philip M. Gresh - JPMorgan Securities LLC: Okay, understood. And my follow-up question is just on the M&A bid/ask spreads. Other companies have sounded a bit more upbeat. I know in the past you've said you think they're too wide still. So has anything changed there in the past few months? And with respect to how wide they've been for how long, has that surprised you at all given where we are in the cycle relative to past cycles?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: All I can really say about it is as you would envision. The bid/ask price is really a function of a number of factors, obviously including the business climate. But also what I would tell you is the unique capability and assessment from individual investors. Certainly as commodity prices remain low, it will impact the dynamics. I really don't have a view to share with respect to where it's going. I would tell you from our perspective, it's business as normal. As you've heard me say several times, Phil, this is a key component of our ongoing business, not only acquisitions but high-grading our portfolio from divestments. I would simply just say that any acquisition will have to compete with our diverse inventory of investment opportunities.
Philip M. Gresh - JPMorgan Securities LLC: Okay. Thanks, Jeff.
Operator: Our next question comes from Neil Mehta with Goldman Sachs.
Neil Singhvi Mehta - Goldman Sachs & Co.: Good morning.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Good morning, Neil.
Neil Singhvi Mehta - Goldman Sachs & Co.: Hey, Jeff, I wanted you to comment a little bit on the downstream here. And maybe we start off with some of the announced divestments, Chalmette and Torrance. Talk through a little bit of the strategic logic behind divesting those assets, and then what we can read, if any, from how you think about the downstream portfolio as a percentage as the mix of the company.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Sure, Neil. Maybe I can start with just a reminder for the group that, as I said a moment ago, this is a very important part of our overall business activities, the asset management focus. And from a downstream perspective, if you look at the last decade, we have divested more than 1 million barrels a day of refining capacity, something like 6,000 miles of pipeline, and over 200 fuel terminals. And I start there because it just highlights that we continue to high-grade the portfolio. And it really talks to our effort towards enhancing our portfolio through identifying appropriate investment opportunities like you're seeing in Rotterdam, in Singapore, focusing on risk balancing on our portfolio, and then pursuing monetization opportunities. Obviously, there are a lot of variables that go into such a decision for the downstream, including our large manufacturing footprint in the U.S. But ultimately the right decision for us was to monetize those assets and to continue to focus our investments on areas that will upgrade our existing portfolio. Many of our sites being advantaged, a lot of those investments focused on things like expanding our feedstock flexibility, like you see in our plans to expand the Beaumont refinery, like expanding our logistics flexibility like we talked about previously with the Edmonton rail terminal. Expanding our higher-yield, higher-value products, which you're seeing with the Rotterdam refinery and the Antwerp refinery. And underlying all of that is further capturing increased value from our integrated business model.
Neil Singhvi Mehta - Goldman Sachs & Co.: And then the follow-up question, Jeff, is a follow-up to Phil's question around M&A. And as you think about the U.S. unconventional business, you did a tuck-in here of 48,000 acres in the Permian. Is that the right strategy for Exxon to continue to look for incremental bolt-on acquisitions of acreage that you can tuck into the portfolio under XTO, or does larger-scale M&A of U.S. conventional assets create value at the right price?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: We think it is the right strategy. We think everything is available for us to consider. It will be a full range from our investment activity to the bolt-on acquisitions that you've seen us do here in the Lower 48 unconventional in the last two years, to larger-scale acquisitions where fundamentally it keeps on going back to that test. It has to compete with the investment opportunities that we have in our portfolio. And if the view is that we can capture additional strategic value, and overall our assessment is that we'll capture longer-term accretive performance, then it really sets up the stage for something that we'd be interested in. And remember, we keep that financial capability so that we are agile to respond to opportunities that come along.
Neil Singhvi Mehta - Goldman Sachs & Co.: Makes sense. Thank you very much, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Thanks, Neil.
Operator: Our next question comes from Paul Cheng with Barclays.
Paul Y. Cheng - Barclays Capital, Inc.: Hi, good morning.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Good morning, Paul.
Paul Y. Cheng - Barclays Capital, Inc.: Jeff, two questions, if I may, one a quick one, just a clarification on the quarter. Maybe I missed it. Did you tell us what is the actual asset sales gain on the P&L in this quarter, and also whether there's any timing benefit value from the price realization for your downstream?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: On the first question, Paul, what I said was there really is – from an earnings impact, there's really nothing for us to share. There's nothing notable across the transactions. Your second question, can you repeat that again?
Paul Y. Cheng - Barclays Capital, Inc.: That's part of the first question, is that do you have – typically when you buy crude, because of the long haul, sometimes when oil price is dropping that you have a price realization benefit on the finalization.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Yes.
Paul Y. Cheng - Barclays Capital, Inc.: Do you have that number you can share with us?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Yes, so quarter on quarter it's a negative about $100 million. Sequentially, it's negative about $200 million.
Paul Y. Cheng - Barclays Capital, Inc.: So sequentially it's about $200 million negative.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: That's correct.
Paul Y. Cheng - Barclays Capital, Inc.: A second question is maybe more strategic. If I look at your portfolio, say broadly divide it into deepwater, oil sands, shale oil, and LNG, when you look at those buckets, can you rank for us that in terms of the attractiveness of future investment within your portfolio on those buckets? In other words, which one is weighing the highest, and which one is the lowest in your portfolio today?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Paul, I'd ask you to think about it a little bit differently; that within each one of those resource types, there is a range of attractiveness in terms of value. We may have some very attractive resources in each one of those categories that would compete very effectively with other high-value resources within another bucket. Quite frankly, what's really important here that I'd ask you to think about is that we have a very diverse and deep resource base that we are able to participate in each one of those resource categories. And within those resource categories, we've got very high-value investment opportunities that will effectively compete for allocation of capital.
Paul Y. Cheng - Barclays Capital, Inc.: Yes, that's fair. Maybe let me ask from another angle then. Out of the 98 billion barrels of your resource, do you have a rough estimate how much of them based on today's technology and the physical term you would be able to generate more than a 10% return under a $60 Brent?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: On the 92 billion barrel resource base, again, I'd ask you think about it differently because what the organization does is we will continue to optimize our development alternatives to make sure that we maximize the return on these barrels. So if we identify a resource that we don't think we can get an attractive return on, there will be other means to go ahead and either implement a different development scheme that will reduce the economic risk and improve the return, or ultimately we may choose to go ahead and monetize the asset. So it's a dynamic portfolio that is really working towards getting the greatest value from every barrel. And then of course, we complement that with our application of technology. I'd just use the unconventionals as a good example about how technology has really increased the value of the unconventional resources. Another good example is in oil sands, how technology is being applied to really improve the profitability and allow us to capture greater value from those resources. So I think it really speaks to the strengths of ExxonMobil. We have the knowhow. We've got the excellence in how we go ahead and do our development planning, how we identify value-added real-time technology to enhance our investment choices, and then of course, leveraging our ability to interface with the resource owners to find the right fiscal environment to go ahead and progress the investments.
Paul Y. Cheng - Barclays Capital, Inc.: Okay, very good. Thank you.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Okay.
Operator: Sam Margolin with Cowen & Company has our next question.
Sam Margolin - Cowen & Co. LLC: Good morning.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Morning, Sam.
Sam Margolin - Cowen & Co. LLC: So on the last call there was a little bit of inquiry about growth opportunities post this round of guidance in 2018. It strikes me that sort of U.S. gas is a really big component of your resource base without pulling much weight in income today, and perhaps there's an opportunity for that slug of resource to provide some of that outer year growth. I was wondering if you could just maybe walk us through your broader views on gas, specifically any kind of path you see for that tranche of production to start contributing a little bit more to the overall income profile.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Sure. Let's start, Sam, with our energy outlook. If you think about the energy outlook, gas is growing about 1.6% per year. From an LNG perspective, from where we are, say, 2010 to 2040, we expect LNG demand to triple from current capacity. So that really sets up, if you will, the investment case. And then globally, we're very well positioned with gas assets around the globe to participate not only in the domestic market but in the LNG market. So maybe if I can focus now on just the U.S. for a moment, we have had a constructive view that gas is going to continue to grow in the U.S. as gas replaces coal for power generation. Our gas resource base is also significantly underpinning our investment in our petrochemicals. So our expansion, for instance, at the Baytown refinery to add ethylene lines, 1.5 million tons per annum, as well as a concurrent investment at Mont Belvieu to add polyethylene lines, in fact, metallocene polyethylene, will be underpinned by an advantaged feedstock that is U.S. natural gas. And then furthermore, it also positions us to provide a source for LNG export into the global market. By way of example, we're progressing through a regulatory review of the Golden Pass LNG export facility. Think of it as a brownfield development because all the original investment associated with the export facility is going to be advantaging that site as we move forward into an export facility.
Sam Margolin - Cowen & Co. LLC: Okay, so that brings me to my follow-up, I guess. How much of your investment evaluation process is geared around integrating some of the resources that you have in place? So for example, as you see U.S. gas here get pressured in the near term from improved economics from unconventional producers, would that ever lead you to accelerate your investment in things like ethylene crackers or even U.S. LNG facilities to promote your own position?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: I think it's a good question, Sam. Think about it this way; that we will time the investment in gas resource development activities to underpin value chain opportunities that we're pursuing. That is expansion into petrochemicals. That would be the LNG export. We will time those resource development activities to underpin the value chain investments that we're pursuing.
Sam Margolin - Cowen & Co. LLC: Perfect, thank you very much.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Great. Thanks, Sam.
Operator: We'll go next to Blake Fernandez with Howard Weil.
Blake Fernandez - Scotia Howard Weil: Jeff, hey. Good morning. Question for you, a lot of your peers have been recognizing impairments and restructuring charges I guess partially as a function of head count reductions and OpEx reductions, and then secondly resetting internal price decks. I was wondering if you could remind me. Is there a certain timeline that Exxon uses to reset the internal deck that they're using? And then secondly, with some of these operating cost reductions that you're seeing, is part of that head count related, in which case we may see some restructuring charges?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: We don't have any plans, Blake, to have any restructuring charges. As I said in the prepared comments, we have really focused on right-sizing the organization through our history. Particularly, if you reference the merger of Exxon and Mobil to where we are today, we're down over 30% in terms of total employees. So we are constantly right-sizing that organization and identifying additional opportunities to improve the productivity of the organization as a whole. So we don't anticipate any restructuring charges.
Blake Fernandez - Scotia Howard Weil: Okay. And it doesn't sound like there's a timeline on internal price forecasts or anything like that, like some companies use the third quarter or something like that.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: I'll go back to talking about our – what really informs us is our outlook on supply and demand.
Blake Fernandez - Scotia Howard Weil: Okay. Okay, the second question for you, very briefly, a lot of companies are starting to see lower decline rates as a function of increased reliability or some of the longer plateau projects coming online. This may be a better question for the Analyst Day, but I didn't know if you're witnessing the same thing in your portfolio.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Generally speaking, if you look at our 10-K, we have continued to update our, if you will, average decline rate over the long term, which is still about 3%. That does not include uplift due to major new project developments. But we have continued to invest in some very long-life assets that have really very long plateau production rates, like Kearl, like the LNG investments we've made in Papua New Guinea and in Qatar. That gives a very strong foundation to our production, but importantly, a valuable foundation that contributes significant cash flow.
Blake Fernandez - Scotia Howard Weil: Thanks a lot, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: You bet, Blake.
Operator: We'll go next to Anish Kapadia with Tudor, Pickering, Holt.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Hi. My question is going back somewhat to the industry cost-cutting and CapEx cutting that you're seeing, and it seems like some other companies are cutting a lot more aggressively than yourselves given the state that some of those companies' balance sheets are in. I was just wondering. On the back of that, when would you expect that to have some kind of an impact on your non-operated production, given that we might see higher decline rates coming through with the lower number of infill wells being drilled, less tie-backs being put into place as projects get canceled?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Anish, that's a hard one to answer in terms of what others are going to do that results in volume impacts on our non-operated. Recognize that a large part of our portfolio is driven by long-life investments. These are multi-decade investments that are generating volumes over the long term. Granted there is a material component that's much more shorter-cycle investments, and we have seen some of the assets where we are not the operator, the activity drop off significantly because of weaker balance sheets. Of course, that may present an opportunity for us.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Okay, thank you. My second question was on your U.S. gas production. It seems like it's been fairly weak this quarter. It's down around 9% year over year. I think you had some benefit with Hadrian coming onstream. I'm just wondering in terms of that trend and that decline rate. Can you just give some kind of outlook of how you see your U.S. gas production progressing, especially in the current oil and gas price environment, and how you expect the gas price environment to evolve? What does that mean for your U.S. gas production? Thank you.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: A large part – I will remind you that a large part of our gas is coming from our unconventional resources. We are the largest gas producer in the U.S. We have not been investing in drilling activity here very significantly, primarily given the outlook for near-term gas demand. And as I said earlier, we're going to pace the investment program consistent with expected demand growth for conversion from coal to natural gas in power gen, the investment in petrochemicals, the regulatory approvals needed in order to export that gas and compete in the LNG market. Unfortunately, given certain regulatory restrictions in the U.S., that does slow down the investment opportunities, and I think it really points to the opportunity the U.S. has to more actively participate in the global market.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: That's great. Thank you.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: You bet.
Operator: Ryan Todd with Deutsche Bank has our next question.
Ryan Todd - Deutsche Bank Securities, Inc.: Great, thanks. Good morning, gentlemen. Maybe I can do one higher-level one first. If we think about project sanctions and your investment in long-cycle projects right now, where do you think you are in the deferral or reinvestment process? Have you seen costs come down to a level at this point on long-cycle projects where you feel like it's time to reaccelerate investment? Have you not deferred much in your view at this point? Or probably I guess what have you seen on FIDs? What FIDs could you expect going forward, or do you think that costs need to come down further for you to get reengaged?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Ryan, I guess I would tell you that we haven't disengaged. We've maintained an active investment program. In addition to the 32 major upstream projects that I've talked about and then the financial – FID decisions that we've taken on some of our downstream and chemical projects, we've given you some line of sight on the next tranche of upstream investment opportunities that are currently in various stages of either development planning or even in the early stages of pre-engineering, if you will. It gives you a sense for what we're working on. I want to remind you that we are capturing real-time benefits through capital efficiency in our investment program. Those are structural improvements that we're capturing. Yes, there are market improvements that we're experiencing as well. But as we make the investment decisions, we test those investments across a very wide range of prices, including commodity prices, and that's well within the current price environment. So the investments are very robust, resilient to a number of factors that can significantly influence them, and that positions us very well to continue a continuous investment program, not get the inefficiencies of the stop and the starts, obviously underpinned by our financial capability, and allows us to further capture economic uplift in the current market climate.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks, that's helpful, and then maybe if I could ask one more specific one. On the last quarter you provided a little bit more granular production levels on some of your onshore assets, where they were in the quarter in the Permian, the Bakken, the Woodford. Would you be willing to say what those assets produced in the third quarter and maybe what your Midland Basin acreage is up to at this point?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: So the Midland Basin acreage, as I said in the prepared comments, we're up to 135,000 net acres. In terms of production or total gross operated production from the Permian, Bakken, and Woodford is just shy of 250,000 barrels a day. Bakken is leading that at over 100,000 barrels a day. Permian is approaching 100,000 barrels a day, and the rest is in the Woodford.
Ryan Todd - Deutsche Bank Securities, Inc.: Okay, thank you.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: You bet.
Operator: We'll go next to Edward Westlake with Credit Suisse.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Okay. It's getting to the top of the hour, so I'll leave my contentious one for the second question. First one, you mentioned you picked up extra acreage in Nigeria. Any signs that Nigeria is moving forward in terms of changing terms to get those attractive reservoirs actually development-flowing?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: I think there's a clear recognition that there are some opportunities to stimulate further investment, technology application within the country. And I think there's an earnest effort to try to put in place the right investment climate. There is significant opportunity in Nigeria. And as we said in the prepared comments, we're encouraged by the exploration results that we've had. But we're just going to have to wait and see where it moves. There are a lot of issues that they're dealing with and we've got to be patient, but we've got make sure that we weigh in. But in short, I'd tell you that we're encouraged by the new government and where they're heading.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): And this is a small but potentially contentious issue. Just I saw Asia gas volumes down, and I hear that Petronet in India is rejecting cargoes, or at least low on the take-or-pay commitments. Just maybe talk through, it's probably just a timing issue in terms of how that might affect volumes. But talk through about any issues with Asia gas that we should be aware of, just for modeling.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: I guess what you're referring to is on Asia gas that we're down sequentially. That's primarily due to some entitlement impacts associated with some quarterly true-ups as well as some decline in other impacts. With respect to LNG contracts, they're confidential, as you can appreciate. As I said earlier, all of our contracts are based on a longer time horizon. We've got various elements within the contracts to give us and the buyer some flexibility, but there's really nothing more to share beyond that.
Edward George Westlake - Credit Suisse Securities (USA) LLC (Broker): Thanks very much.
Operator: Our next question comes from Paul Sankey with Wolfe Research.
Paul Sankey - Wolfe Research LLC: Hi, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Good morning, Paul.
Paul Sankey - Wolfe Research LLC: Jeff, I think when we met midyear you were saying there hadn't been a major upstream FID this year. At the same time, I'm seeing that you're consistently losing money in the U.S. C&P. The two, one is obviously long cycle; the other is short cycle. I was wondering in the short cycle case why you seem to be maintaining very high levels of activity when you've got nearly a $0.5 billion loss here and whether or not that's a function of perhaps oil profits being offset by natural gas losses, or if I'm missing something about the breakdown of that loss. Thanks.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: So let me give you a perspective of the upstream U.S. business. Paul, all of our assets are managed to maximize returns through the lifecycle, which is obviously on a longer time horizon than the current price environment. As you've heard me say before, we really focus on those things that we control, like integrity, reliability, productivity, importantly our development and operating costs, making sure that we've got operational flexibility, and as you've heard the downstream side, the pursuit of higher-value product yields. I'd say that importantly, we invest in attractive opportunities through the cycle that will further enhance the profitability and capture savings in the soft market. And as I've said before, the current investment program that we have underway in the U.S. portfolio is attractive in this price environment. I'll also...
Paul Sankey - Wolfe Research LLC: Based on the assumption that oil prices are higher in the future?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: No, not at all. So I'll remind you...
Paul Sankey - Wolfe Research LLC: Based on the assumptions that efficiency gains will make it profitable in the future?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Based on factual current data that we've got and how we manage the portfolio as well as the existing operations.
Paul Sankey - Wolfe Research LLC: I guess what I'm looking at is maybe $0.5 billion dollar loss in U.S. C&P.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Right.
Paul Sankey - Wolfe Research LLC: Will that become profitable in due course at these prices?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Again, we manage the business over a longer time horizon. And to be clear, our U.S. upstream portfolio continues to generate positive cash flow.
Paul Sankey - Wolfe Research LLC: Okay, so it's positive cash. So what's the problem with the earnings then?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Again, Paul, we manage the business over the longer time horizon. And we'll continue to do what we do very well and manage the things that we control, continue to work on the operating costs and the reliability.
Paul Sankey - Wolfe Research LLC: Yes, I understand. I'm just slightly digging around just because it's been a fairly consistent loss. And because it's short cycle, I think that's what I'm really driving at. I would have thought that it's a short cycle business, therefore the short-term performance might be better.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: The increase in the loss in the third quarter was primarily driven by another reduction in crude realizations that we all experienced as well as some additional downtime and maintenance.
Paul Sankey - Wolfe Research LLC: Got it. Okay, thanks, Jeff. I'll leave it there, thank you.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: All right.
Operator: We'll go next to Jason Gammel with Jefferies.
Jason D. Gammel - Jefferies International Ltd.: Thank you. We're getting pretty long on the call, so I'm just going to keep it to one and hopefully be fairly quick. Jeff, can you confirm that the Iraqi government has asked you to slow investment at the West Qurna project? And can you comment whether you're now at peak capacity in Phase 1 of the project and whether you'll be able to hold that level if you're not investing?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: On the first point, Jason, I really can't talk about discussions between us and the government. Production has remained above about 400,000 barrels a day in the third quarter with continued pressure support, and that has grown over the recent past.
Jason D. Gammel - Jefferies International Ltd.: And do you expect that you'll be able to hold it at that level?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: It will be our intent to maintain production levels. Obviously, that's going to require continued investment and pressure maintenance.
Jason D. Gammel - Jefferies International Ltd.: Got it, thank you.
Operator: Roger Read with Wells Fargo has our next question.
Roger D. Read - Wells Fargo Securities LLC: Yeah, thanks, good morning.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Good morning, Roger.
Roger D. Read - Wells Fargo Securities LLC: I guess maybe following one of the questions earlier from Ed, as you look at other countries where maybe they're becoming a little more reasonable, whether it's your tax structure, royalty structure, PSCs, et cetera, we've seen Canada raise taxes. We've had Nigeria stuck in neutral for a number of years. As you look across the rest of the globe, are there any places where we're seeing some adjustments from a political standpoint that might make things more attractive over the next couple of years?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: I think if you look at the globe across the full value chain for the energy sector, I would point to the progress being made in a number of places. One place is Mexico. Mexico has made significant progress opening up the door to investment. You think about some opportunities in West Africa that have opened up, East Africa. Now of course, when you open up a new area, there are a lot of other issues we've got to deal with because there's limited infrastructure, perhaps not a well established fiscal basis, so it does take more time. But nonetheless, I would tell you from an encouraging foreign investment that there's been some pretty good progress out there that's increased the amount of opportunities that we've got before us.
Roger D. Read - Wells Fargo Securities LLC: Okay. And as a follow-up to that, you mentioned earlier in the M&A discussion that it had to compete with your internal opportunities. As you look at maybe a changing dynamic internationally and your exploration spending because I think of that as having to compete with the M&A side given the uncertainties and the longer timeframe, how is exploration spending keeping up with the overall spending reductions adjusted for efficiencies and all that? Is it going to remain a similar percentage of total CapEx? Does it need to decline in this environment? Just curious which direction you're going to go there.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Think about it as being more opportunity-driven. It's a function of the opportunities, the maturity of our resource assessments, and the appropriate timing to make the investment within our obligations to the resource owner.
Roger D. Read - Wells Fargo Securities LLC: No percentages?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Nothing to quantify, it's a very large and extensive resource base that we're pursuing. But I will again remind you that it's solely focused on how it can high-grade our existing portfolio. So after we've done the assessments and we have a better handle on what the prospect potential is, it's got to be able to compete before we'd be spending more money there.
Roger D. Read - Wells Fargo Securities LLC: All right, appreciate it. Thank you.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Okay.
Operator: We'll go next to John Herrlin with Société Générale.
John P. Herrlin - SG Americas Securities LLC: Yeah, hi, two quick ones. How's Kearl going?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Well, thanks for asking, John. Kearl is moving along very nicely. As you heard, we got the Kearl expansion started up ahead of schedule. All the learnings have been fully integrated into the expansion project. It's ramping up quicker than initial development. And through the quarter, we produced in excess of 180,000 barrels a day gross. And I'll tell you that we have produced over the 220,000 barrels a day design.
John P. Herrlin - SG Americas Securities LLC: Okay, great. Next one and last one for me is you're seeing a lot of your IOC brethren reduce their risk profiles. I think other people were getting at this. Are you at all worried in terms of your global portfolio or the world as a global portfolio of having fewer potential partners for these large-scale projects going forward, or is this an advantage because you execute well?
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: I think a couple thoughts there. One is is that clearly we're in the risk management business. There's a lot of risks that we deal with, one of them being the geopolitical risks, another one being the economic risks associated with many multiyear investment programs on these big multibillion dollar investments. I wouldn't say that we're seeing a back-off on interest by our typical partners in these type of investments. I would say that there's clearly a desire for us to continue to be in a leadership role in a lot of these big investments. We think we've demonstrated our credibility, and I think that plays well not only with the resource owner but with the industry as a whole.
John P. Herrlin - SG Americas Securities LLC: Great. Thanks, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: All right, John.
Operator: Our final question today comes from Guy Baber with Simmons.
Guy Allen Baber - Simmons & Company International: Good morning, Jeff. Thanks for fitting me in here.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: You bet, Guy.
Guy Allen Baber - Simmons & Company International: I wanted to talk a little bit about North America unconventional. But you've highlighted efficiency gains this year have been significant and the benefits from technology improvement. You obviously have a broad perspective across various plays in the Bakken, Woodford, Permian, and your gas plays. So could you just talk a little bit about which specific play you see the greatest potential for continued efficiency gains and technology application? Really just trying to get some differentiated thoughts by play in the U.S. in terms of what the current view might be and maybe how that's evolved over the last year or so.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: It's a really good question, Guy, in particularly the way you ended your question because it has truly evolved over the last several years. Our prominent acreage holdings are in the Bakken, Permian, and the Woodford. I would tell you that we're very, very excited about all those opportunities. Clearly, the Bakken is more advanced in terms of its development, although I would also say that we continue to capture additional cost and productivity improvements in the Bakken. The Permian has got multiple reservoir objectives, and I think that presents a unique opportunity to further optimize the value, probably more so than the Bakken. And the Woodford is very early stages, and it's really hard to compare and contrast at this point. But in summary, rather than saying one is better than the other, I'd tell you that they're all very exciting. They're all a very important part of our portfolio and have significant value uplift potential for us in the future.
Guy Allen Baber - Simmons & Company International: Okay. Great, Jeff, and then last one for me. The international downstream business performance was very impressive obviously, but you earned more this quarter than all of last year combined. Can you talk about the fundamental margin outlook going forward for refining, particularly internationally? We've been surprised by the strength of that market this year. And maybe the same for chemicals, just given those businesses have done such a tremendous job this year of offsetting the weakness in oil prices, so it's important.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Yeah. Well, as you know, broadly speaking, refining margins are really a function of product demand and available refining capacity, not only new capacity adds but also rationalization of capacity in regions that have excess capacity. We do not provide a forward look on margins. But I would say that particularly in the non-U.S., you've seen really good strength in Europe, Asia very similar to the U.S., driven by Mogas. I think the results really underscore the strength of our integrated portfolio.
Guy Allen Baber - Simmons & Company International: Thanks for the comments, Jeff.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: Okay.
Operator: With no further questions in the queue, I'd like to turn the call back over to Mr. Woodbury for any additional or closing remarks.
Jeffrey J. Woodbury - Secretary & Vice President-Investor Relations: To conclude, I again thank you all for your time and your questions, a very interesting period right now. I think you can see from ExxonMobil's performance that we continue to meet both our operating and our investment commitments. We are very focused on the fundamentals. We have always been focused on the fundamentals, and we have seen that as being a very important element on the success of this corporation. So thanks for your questions this morning, and we do appreciate your interest in ExxonMobil.
Operator: Ladies and gentlemen, that does conclude today's conference. Thank you all for joining.